Operator: Good morning and welcome to the Fluor Corporations first quarter 2009 conference call. Today’s call is being recorded. At this time, all participants are in a listen-only mode. A question-and-answer session will follow management’s presentation. A replay of today’s conference will be available at approximately 11:00 am Eastern Time today, accessible on Fluor’s website at www.fluor.com. The web replay will be available for 30 days. A telephone replay will also be available through 11:00 am Eastern Time on May 18 at the following telephone number 888-203-1112; the pass code of 6293144 will be required. At this time for opening remarks, I would like to turn the call over to Ken Lockwood, Vice President of Investor Relations. Please go ahead Mr. Lockwood.
Ken Lockwood: Thank you, operator. Welcome to Fluor’s first quarter conference call. With us today are Alan Boeckmann, Fluor’s Chairman and CEO and Mike Steuert, Fluor’s Chief Financial Officer. Our earnings announcement and our 10-Q were released and filed yesterday after the market closed. We’ve also posted a slide presentation on our website which we will reference while making prepared remarks this morning. Before getting started, I’d like to refer you to our Safe Harbor note regarding forward-looking statements which is summarized on slide two. During today’s call and slide presentation, we will be making forward-looking statements, which reflect our current analysis of existing trends and information and there is an inherent risk that actual results and experience could differ materially. You can find a discussion of those risk factors in our 10-K which was filed on February 25, 2009. Now with that I’ll turn it over to Alan Boeckmann, Fluor’s Chairman and CEO.
Alan Boeckmann: Thank you, Ken. Good morning everybody and thank you for joining us. Today we will be review in our results for the first quarter of 2009, providing an update on our current business outlook and discussing our earnings guidance for the year. To start of, I’d to cover the highlights of our financial performance in 2009 and I’m now on slide number three. We had a very strong quarter. Net earnings attributable to Fluor for the first quarter rose 50% to $205 million and that was up sharply from $137 million in the first quarter of 2008. Earnings per diluted share were $1.12, up 51% from $0.74 per diluted share for the same period last year. Segment profit for the quarter grew by 33% to $332 million and that compares with $249 million in the first quarter of 2008. Both the Oil & Gas and Government segments had very strong profit growth over last year. Segment profit margin rose to 5.7%, and that compares with 5.2% just a year ago. Our revenue increased 21% to $5.8 billion, up from $4.8 billion in the first quarter of 2008 and that was driven mainly by increases in the Oil and Gas, Industrial and Infrastructure and Government segments. As I move to slide four, you will see that new project awards for the first quarter were $5.5 billion and that compares with $5.7 billion in new awards a year ago. The quarter included $2.5 billion in Industrial and Infrastructure awards and $2 billion in Oil and Gas, with the balance representing orders across the other three segments. During the quarter the company removed two previously disclosed project cancellations from backlog, the $2.1 billion al-Zour refinery project in Kuwait and approximately $580 million for the construction portion of two hydrocrackers for Valero. First quarter backlog also included an $850 million reduction associated with the revised scope on the BP Whiting refinery contract. Let me talk about the al-Zour cancellation. This was clearly not something that we were expecting at the time of our last call. In fact we had just received assurances from our client that the project was preceding. We did not expect it would lead to this project being canceled. So we were certainly surprised and I would say definitely disappointed by this development. Consolidated backlog though declined at quarter end, but still remains a substantial $29.1 billion, down 7% from a year ago and down sequentially from $33.2 billion at the end of 2008. With regard to our markets on our prospects, we continue to execute our strategy of serving key clients and pursuing strategic project opportunities that could generate sizable new awards in the coming quarters. While there continues to be a level of uncertainty, particularly around the specific timing of releases, we don’t provide guidance on new awards, but I would say that we do expect variability from quarter-to-quarter. Let me talk a little bit about the markets in each of our segments and I’ll start with our largest market, Oil & Gas. As you turn to slide five, Oil & Gas had a relatively strong quarter from the new awards perspective, but as we’ve expected we are seeing a shift towards international projects. In fact in the first quarter, over 80% of the new awards were for projects located outside of the U.S. In downstream, while the U.S. market has slowed considerably, there are opportunities internationally and we booked another phase of the refinery in Tajikistan this quarter. In petrochemicals there are a few large prospects, but this market is experiencing some fairly pronounced cyclicality as we had expected. Finally in upstream, we continue to track some very substantial prospects in the Middle East, Russia and Canada. We were awarded one sizable project in Russia in the first quarter. We remain focused on these large opportunities, where we can bring our extensive program management capabilities to bear and which we believe have a higher probability of progressing into full EPC contracts in 2009 and 2010. I’m now on slide six. In Power, we booked a gas plant in the quarter for Dominion Virginia Power and we expect to book at least one more gas-fired plant this year. In the nuclear arena, we continued our support of Toshiba on NRGs south Texas project. New coal projects continue to be elusive however, with considerable environmental hurdles and challenges. Clearly, the lack of carbon legislation and the aversion to anything that creates carbon emissions is going to continue to be an impediment to new investment in this area. In addition to our traditional power generation markets, we are positioning ourselves in a number of renewable energy markets, including large scale wind farms, solar power and bio mass facilities. We’re also performing Feed Work on several Carbon Capture programs, which we believe will eventually become a very substantial market for Fluor. If the SaskPower project in Canada proceeds as planned, it would be the first commercial scale carbon capture system used on a coal fired power plant in North America. In industrial and infrastructure, our mining backlog grew again this quarter, with the award of the next phase of BHP Billiton’s iron ore expansion program. We also have the potential to win another sizeable mining prospect this year with a key North American client. In infrastructure, we continue to focus on major road and rail opportunities in the U.S. and Europe. As always these prospects generally require long development periods and require financing. We do hope to see at least one large road award in 2009. The offshore wind area continues to take shape in the U.K., where we recently formed its Seagreen Wind Energy Limited with electricity, a renewable energy division of Scottish and Southern Energy. Seagreen has been for the exclusive rights to develop wind farm under the Crown Estate’s Round 3, Offshore Wind Farm Development Programme. I’ll ask you to please turn to slide seven on the government segment. Here we remain focused on key programs for the Department of Energy and Department of Defense. With our recent successes at both Savannah River and our LOGCAP task orders, this group is expected to have a strong year. For the DOD, we’re expecting to hear on the next round of LOGCAP task orders in the near future. This has the potential to be a substantial award for us. We also continue to receive additional awards on our SeaTac contract in Iraq. FEMA in self has been a steady contributor, as well as helping us respond as we help to respond to a variety of events around the U.S. The Department of Energy will be a likely growth area as well in 2009, as some fairly substantial stimulus funds were allocated to both the Savannah River and Hanford sites. Our Global Services business continues to be effective at renewing existing long term contracts. We have definitely seen reductions though in small capital work, as clients trim discretionary spending. In addition, Oil & Gas clients in particular, continue to delay refinery outages and turn around work. However, while volume in this area is down, the segment is still performing very well and maintaining some of the best margins in our portfolio. In summary, Fluor booked a substantial $5.5 billion in new project awards and still maintains a significant backlog, even after the project cancellations we experienced during the quarter. I’m very encouraged by Fluor’s ability to deliver solid results in an increasingly difficult market environment. With that, let me turn the call over to Mike Steuert, for a view of additional details on our operating performance and other financial information. Mike.
Mike Steuert: Thank you, Alan and good morning. First let me provide you with a brief recap of results for each operating segment. Please turn to slide eight. Fluor’s Oil & Gas segment reported a profit of $201 million, which is a 46% increase from 2008. Revenue was up 29%, to $3.4 billion. New awards in the first quarter were $2 billion, including a $1.6 billion in non-U.S. awards, with the majority of those in upstream. Ending backlog for Oil & Gas declined 20% from a year ago to $16.3 billion. Moving on to slide number nine, Fluor’s industrial and infrastructure segment reported, segment operating profit of $28 million, essentially level with the $29 million reported a year ago. Revenue of $1.2 billion was 48% higher than a year ago, to the higher level pass through costs associated with certain mining projects. Backlog at the end of the quarter was $8.1 billion, a 41% increase from a year ago. The Government segment posted a profit of $28 million for the first quarter, substantially higher than the $8 million reported last year. Improved results were primarily driven by contributions from the Savannah River project and the LOGCAP four and FEMA task orders. First quarter new awards totaled $243 million, bringing ending backlog to $574 million. Now turning to slide number 10; the Global Services segment reported 23% decline in revenue to $542 million. This decline was due to lower levels of small capital projects and delays in shutdown and turn around orders. Segment profit for the quarter was $55 million, compared to $54 million a year ago. Despite the lower revenues, strong profit results for the quarter reflected increased mix of higher margin work and improved performance and operations maintenance and equipment services business lines. New awards were $276 million for the first quarter and backlog declined to $2.3 billion from $2.6 a year ago. Fluor’s power segment reported revenues of $339 million, a decline of $422 million in the first quarter of 2008. This was due to lower revenue from the Oak Grove project as it progresses closer to completion. Segment profit was essentially flat with a year ago, at $20 million. New awards were $423 million and backlog for the segment was $1.9 billion, down from $2.2 billion a year ago. As Alan mentioned, Fluor’s consolidated backlog at quarter end was $29.1 billion. This is a $4.1 billion decline from backlog at December 31. It includes the impact of $3.6 billion in project cancellations and scope reductions and $5.7 billion in the first quarter work performed. 74% of total backlog value is cost reimbursable and 53% of backlog value is for non-US projects. Now I’d like to move to corporate items shown on slide 11. G&A expense for the quarter showed solid improvement, declining to $25 million from $40 million in the first quarter of 2008. This improvement was primarily due to lower compensation expense, as well as the impact of cost reduction efforts. First quarter G&A is also typically lower than subsequent quarters. For the year we now expect G&A expenses to be in the range of $180 million to $200 million. We had net interest income of $5 million for the quarter, down from $10 million in the first quarter of last year. This decline is mainly a result of lower rates of return on invested cash, as our focus remains on protection of principle. The tax rate for the March quarter was about 33%. The lower affective tax rate was primarily due to relatively new accounting rules, regarding taxes on unremitted foreign earnings and earnings attributable to non-controlling interest. For the year, our tax rate is expected to be slightly below 38%. During the quarter, the company adjusted its income statement presentation for non-controlling interest due to FAS 160. Also the company implemented APB14-1, which is intended to clarify the treatment for convertible debt instruments that maybe settled in cash upon conversion. This fee resulted in negligible changes to additional paid in capital, taxes and interest expense. Please refer to footnotes 10 and 12 in the 10-Q for more information. Shifting to the balance sheet, consolidated cash and marketable securities at the end of the quarter was $2 billion compared to $1.9 billion a year ago. To-date in the second quarter, cash is increased to slightly over $2.2 billion. During the quarter we also repurchased $60 million or 1.8 million shares the company stock. We declared a normal quarterly dividend of $12.5 per share, which is payable July 2, 2009. Our debt to total capital ratio was 5% unchanged from last quarter and down from 12% reported a year ago. Capital expenditures for the quarter were $53 million, down from $59 million last year, with a majority of these expenditures attributable to our continued investment in our equipment services business. In summary, Fluor’s financial position remains extremely strong, minimal leverage, substantial liquidity and good access to capital based on our solid A credit rating. Finally let me address our guidance for 2009, which is showed on slide 12. We are reassured by the strength of our first quarter results and we are attracting a number of large new award prospects that could positively impact the year. However recent cancellations, including the $2.1 billion refinery in Kuwait, have created some downward pressure on our 2009 earnings forecast. As a result, the company is lowering its 2009 earnings guidance to a range of $3.80 to $4.10 from the previously issued range of 390 to 420 per share. Operator, with that Alan and I will be happy to responds to questions.
Operator: (Operator Instructions) Your first question comes from Andy Kaplowitz - Barclays Capital.
Andy Kaplowitz - Barclays Capital: Your corporate G&A was a lot lower than I think most people thought and maybe Mike or Alan, you could go over sort of how you got there? How much of your business is variable cost and what are some of the initiatives that you undertook to get the lower or better than expected results? 
Mike Steuert: Andy, it was lower than expected as I mentioned in my comments. We do expect it to increase in subsequent quarters. The first quarter is typically lower. We did initiate a number of cost reduction activities late last year and early this year that impacted the quarter. We’re certainly trying to control a lot of corporate G&A expenses, including travel and other items of overhead. To your point, we worked over the last several years to move very strongly to a variable cost model, so that we can really adjust our overhead not only at the corporate level, but also on our business share units, based on the volume of activity that we see in the businesses. That’s clearly benefiting us, but again the first quarter was lower. We don’t expect to track at that rate to the rest of the year, but we do expect to have some meaningful improvements in terms of the cost reductions in 2009, and that’s reflected in our guidance within $180 million to $200 million for corporate G&A.
Andy Kaplowitz - Barclays Capital: Alan, last quarter you’d given us some backlog guidance. Maybe you could update us if you can on it and then also sort of what are your customers now saying versus a couple of months ago? Are they anymore comfortable with the way the world is, are they less comfortable, sort of where are we in the process?
Alan Boeckmann: Andy, that’s a very good question. It depends on the market and some case even on the customer and their current situation. Clearly on the last call, we talked about backlog remaining relatively flat. While obviously the recent cancellations have created some headwind for us there, but we see some significant opportunities going forward. As lumpy as it’s going to be, there are some sizable prospects on our list for 2009. They are really more heavily weighted towards the second half of the year and they’re in a number of business groups; Oil & Gas, mining, infrastructure, government and power, really across our whole spectrum. What we are seeing is, there is uncertainty. We see some clients are hesitant to spend because of that uncertain. We see others who have strong balance sheets and strong investment intentions, recognizing that this maybe the best capital market they would be in to take their projects forward. So it is a bit of a mixed bag. We really do believe though that we have some great targets of opportunities and in fact we had some positive developments in the backlog, notwithstanding the cancellations that we’ve had. So, it’s not gloom and doom, but it clearly is a lot more uncertain and a lot lumpier than what we might have seen in the past.
Operator: Your next question comes from Jamie Cook - Credit Suisse. 
Jamie Cook - Credit Suisse: Good morning and congratulations. Alan, just to follow-up on Andy’s question though, can you comment specifically what your customers are saying within the Oil & Gas market, with crude now pushing $60, how do they feel about that and what are you seeing on the labor and material cost items? I’m just trying to figure out how much that needs to go down before it makes crude at $60, fairly economical? Then my follow up question is, can you just talk about what you’re seeing on the competitive front as you are booking these projects? Are you seeing margins and backlog go down as we just think about beyond 2009 I guess?
Alan Boeckmann: Jamie, certainly in the Oil & Gas market it depends, again, whether we are talking upstream or downstream and in large part to petrochemicals. On the upstream side is where we are really seeing our biggest opportunities going forward. The downstream sides in the U.S., a number of clients are still going forward with their projects, but others have slowed and we already mentioned the cancellations and delays that we’ve seen. A lot of our opportunity is to overseas; even the downstream market is the overseas market that’s really providing an opportunity for us. Interesting enough on the upstream side, we’ve got several clients; I’ll go back to my previous comment, that are very wisely understanding that this maybe the best capital market that they will get the opportunity to take advantage of, because costs are down to your other question. We have seen a dramatic fall off in the cost of material, on the cost of fabricated equipment, on the schedules for delivery of fabricated equipment and pipe. So, there is some significant opportunities that are opening up here to get lower costs than what we’d seen in the escalation that occurred over the last couple of years. Clients again, it’s much dependant on their own balance sheet and their own market outlook, with probably the downstream refining market in the U.S. being probably the one that is having the most trouble.
Jamie Cook - Credit Suisse: Then just with the follow-up question, can you talk about what you are seeing on the competitive front? How we think about projects you are booking in backlog today versus maybe six, nine months ago?
Alan Boeckmann: Interestingly enough, again it depends on which industry segment we’re talking about. On the Oil & Gas side, the projects we’re seeing are significant in size. Even in the up market, we had relatively little competition, with only one or two people that really actively affectively compete for that. So, in the program management, the significant projects where we do the utilities and offsites, we are still seeing ourselves in a favorable track towards those and not any real difference in that the market conditions for bidding. In some of the consumer products areas, maybe even in some of the power markets and others, we clearly are seeing more increased competition because of the down markets and the uncertainty that’s out there, but having said that, we would have maintained our selectivity on either side of this curve and are focused on the projects that we know that we can go after and have a real strong competitive shot at.
Jamie Cook - Credit Suisse: Lastly, as we think about projects cancellations and your conversations with the customer, do you think we’re sort of through the big cancellations or do you still think there’s more risks?
Alan Boeckmann: I really think the big cancellations are behind this. Given the uncertainties out there to say we won’t have others, but I think the ones that are extremely material to us like we’ve seen in the first quarter are in fact behind us. There maybe some others that occur, but I don’t think it will have the kind of impact and we have taken some of that into account in our outlook.
Operator: Your next question comes from Richard Paget - Morgan Joseph.
Richard Paget - Morgan Joseph: Given at this point in the cycle, have you guys started seeing any shift in the way that clients are contracting with you guys; perhaps maybe putting some of the risk back to the contractors? In terms of the way that clients are looking at contracting. Are you starting to see any shifts in the contracting mechanisms that are putting the risk back to the contractors?
Alan Boeckmann: It’s interesting. There is a shift, it’s not in the intention or direction of our clients, it’s more on the contractors side. We see more contractors now willing to come and bid lump-sum because of the market. Clients have always wanted; it’s pretty traditional of our clients, whether they favor ones type of contractor to do another. In the Middle East for example, where lump-sum is absolutely the favorite. Over the last several years, it’s been difficult if not impossible to get a bid slate that would consider taking on the risks given the escalation in the market and so forth. Now, that cycle has shifted near the direction. So, we are seeing more opportunities to bid lump-sum and more contractors willing to step up and bid into those risks. Again, that’s not a market that we typically plan. When we do a lump-sum project, it’s with very limited competition or in a direct reimbursable phase contract and that’s irrespective of the market. We have that reviews, that philosophy in Oil & Gas, Power Infrastructure, literally right across the board.
Richard Paget - Morgan Joseph: Then on the services side, you said you saw some delays in some of the turnaround work. How long can that work be deferred and when do you think you should see people resume back to a more normalized run rate?
Alan Boeckmann: Turnarounds are typically on a scheduled basis and again it depends on the type of industrial plant, but typically most large refineries and so forth will go on a two or three cycle for turnaround, but when they delay those, they can’t delay them all that long, because there are certain things that have got to be attended to. So in the Oil & Gas cycle, my guess is, you can delay a turnaround for six months, you maybe able to even delay it up to nine months, but going onto a year is getting fairly dramatic. So, I would anticipate these to start coming back sometime towards a little to the end of 2009.
Richard Paget - Morgan Joseph: Finally, on the accounting change with the non-controlling interest, are there any margin impacts or anything that we should look at for our modeling going forward?
Mike Steuert: No, it really doesn’t impact the margins. It could potentially impact the tax rate or making the tax rate appear a little lower than what it actually is.
Operator: Your next question comes from Michael Dudas - Jefferies.
Michael Dudas - Jefferies: Alan, could you share some thoughts on the Government side? That looks like to be probably the best grower and the best opportunity for business end margin. Do you see those opportunities accelerating and how significant of a contributor can the Government business be for Fluor over the next 18 to 24 months?
Alan Boeckmann: It is clearly growing from where it was in 2007 and 2008 Mike. Our success of winning the contract and getting in place at the middle of last year at Savannah River has been a very significant positive and that continues with the opportunity to get into some of the stimulus funds that have been directed there at the site. So that’s going to be a positive compared to what we have planned during the year and something that we look forward to. I would say our most significant contributor though in terms of growth has been our contingency operations area, specifically for the Department of Defense. The SeaTac, additional awards and the LOGCAP orders we’ve gotten to-date, have been a very positive contributor to the government’s performance. We are bidding some very sizable LOGCAP awards right now, so we expect to get a decision on; I would say probably within the next four to six weeks. That I think could be very significant and have a fairly quick impact on the results in the Government sector. So, we’re pretty bullish in that area. That group has really done great things in building themselves up to this point and has got a great reputation going with a number of the agencies.
Michael Dudas - Jefferies: From the infrastructure side, you say maybe one large real project, I’m assuming Texas this year. Is the stimulus moneys and some of the opportunities looking a little bit better for Fluor for possibly 2010 sizable bookings?
Alan Boeckmann: It’s interesting; when people first started talking about the potential for the stimulus bill, the common knowledge was that it was all directed towards infrastructure, city, roads, streets, buildings and the like and that’s just not been the case. It’s gone into a number of other areas. I think to the extent that stimulus moneys find their way into spending in what I call the road and building infrastructure, it will really be 2010 before that really occurs to any degree. So as I said, we expect the biggest benefits to be in our Government and power business for stimulus funding.
Michael Dudas - Jefferies: I’ve got a question; on the power side a couple of things. One, the EPA actions with regard to desert rock, does that significantly put that project in danger?
Alan Boeckmann: Yes, that project continues to be plagued by the issues and the actions of the EPA and all the opponents that are against it on the clean airside. It’s not something that we counted on this year. It would have been really outstanding had it gone forward and we had some hope that it might in the second quarter, but I think that’s likely not to happen now. We’re not looking at it for 2009.
Michael Dudas - Jefferies: Given that coal is out of the picture and nuclear, everybody has their own opinion about when that happens, does that make sense that natural gas is going to have to be that bridge to the power side and could we see some acceleration in announcements of new combined cycles planned for the next two or three years?
Alan Boeckmann: I think that’s a very good point. What’s changed in that dynamic over the last several quarters has been very surprising growth and supply of natural gas here in the U.S., in particular with the Barnett Shale discovery and production. The get cost for natural gas per $1 million BTU’s has come down dramatically and I think the predictions are they will continue to stay down for the next year or two. That’s good news in this power market, because we were clearly were betwixt and between in terms of how to implement new generation to meet the demand growth here in U.S. and there has been a slowdown in the demand growth over this last year with the recession. So to your question, I think we will continue to see combined cycle gas prospects come up. We are as I said looking to book one more in this year. I think we will continue to get a number of front end opportunities on combined cycle plants as we go through the year.
Operator: Your next question comes from Mark Thomas - Simmons & Company.
Mark Thomas - Simmons & Company: Mike I guess just most of my questions have been answered, but Mike in the Q, listed the Oil & Gas segment, there has been some change order approvals. Can you elaborate on what impact that had on the segment results if any?
Mike Steuert: You cut out for a second there in your question. Could you repeat it?
Mark Thomas - Simmons & Company: Sure. In the Q it’s listed that the Oil & Gas segment benefited from some change order approvals, can you elaborate on what impact that had on the segment results, if any?
Mike Steuert: They were very modest. Those charge order approvals would have impacted profits very, very modestly.
Alan Boeckmann: Profits on a per 100% complete basis that may not have been approved prior to that approval by the client.
Mark Thomas - Simmons & Company: So, on those 6% margins, are those pretty representative on the work performed for the quarter.
Mike Steuert: Yes, they are.
Operator: Your next question comes from Steven Fisher – UBS.
Steven Fisher – UBS: It sounded like the guidance reduction is pretty much entirely related to the cancellations. I just wanted to confirm that you didn’t reflect anything new about the business or economic environment in your guidance and I guess maybe how do you reflect the timing and uncertainty of some of those larger projects into the guidance. I think you said it could have an impact on 2009.
Alan Boeckmann: You’re very right. Some of the opportunities that we are looking at, that could occur in the second half of the year are quite sizable and so when we do an outlook, we look at what we call a factored basis of success. To the extent that they occur, they could be better than what we forecast; to the extent that they don’t occur, we don’t want them, it could have a depressing affect on our forecast. So it is again a lumpy business, where some of these things are so large that it’s hard to do anything, but scenario them. I think we did lower the outlook I think quite significantly. We didn’t lower it significantly, but the significant affect of lowering it was from the cancellation of the al-Zour refinery, but we’ve had some other positive things occur. Our confidence level in some of these other awards and in the stimulus funding is higher than it was a quarter ago. We’ve seen the effect of our cost reductions and so I think others may have been expecting more of a reduction, we try to remain conservative, but we think it’s a range that we certainly intend to perform within.
Steven Fisher – UBS: That’s helpful. I’m just wondering what drove your decision to buyback stock in the quarter and compare...
Alan Boeckmann: I’m sorry, I apologize, but we are having trouble with our audio here; if you could speak a little more directly in to the microphone. We lost you on that last part of the question.
Steven Fisher – UBS: Okay, just wondering what drove your decision to buyback stock in the quarter. I mean compared to where the stock is today seems like a pretty good move, but just did you get a sense that markets are stabilizing, was it a lack of M&A opportunities or just kind of some thoughts there.
Mike Steuert: Well, it’s a combination of factors. We have always said that we would buyback shares on an opportunistic basis. We can only buyback shares during a window after which we’ve announced our earnings. So we really only have about a three to four week period in which to do that every quarter and so we look at the price, we look at whether it’s an accretive move for our shareholders in what we believe is our going forward position and then we make the decision on that basis. We clearly also can’t be involved in any significant discussions around M&A or so forth, that may result in a deal while we are repurchasing shares. So it is very opportunistic. We intend to continue to buyback shares on an opportunistic basis and we will do so obviously during the windows when we are allowed to do that.
Operator: Your next question comes from Will Gabrielski - Broadpoint Amtech.
Will Gabrielski - Broadpoint Amtech: Structurally here if were talking about bigger government awards, can you kind of help me understand what that’s going to do to your business in terms of tracking it via backlog, and the percentage of some these LOGCAP contracts become book and burn within a quarter and just the better way to maybe handle the businesses versus just looking at backlog exiting a quarter as a way to forecast forward numbers.
Alan Boeckmann: You raised a good question. The LOGCAP awards in particular, while there will be a good size booking, a good part of that will be worked off; if not the next quarter within that next two or three quarters. They move very quickly. Their projects that the army needs done quickly, so they put a high priority on that and we get a lot of positive marks and increase our competitiveness by being able to quickly respond. So, it goes into the new awards, but it comes out under revenue fairly quickly thereafter.
Will Gabrielski - Broadpoint Amtech: Then in terms of; obviously you talked about the shift to global Oil & Gas from North American downstream Oil & Gas. I guess North Americas really driven the business over the past few years; can you talk about some of the opportunities out there in terms of dollar size and how you view that market in general over the next 12 months?
Alan Boeckmann: Well, it’s marked by what I call substantially large projects. A couple of the projects we are looking at and proceeding on and competing for are some of the largest we’ve ever gone after in our company’s history. So, again that just contributes to the lumpiness as we are successful on those. It is in the upstream area. They are quite focused in Russia and the Middle East and in a couple of cases in Asia. There is an opportunity that we see in Canada as well, very little in terms of the U.S. on any downstream activity at all.
Will Gabrielski - Broadpoint Amtech: So I guess can you provide just a little more color on why you are having such success in Russia right now and every piece of data that you see talks about 40%, 50% CapEx cuts and it seems to be one of the more effective markets globally?
Alan Boeckmann: Yes, we’ve again been very specific on being selective on the opportunities we pursue there. We’ve had some great success on performance over there, which gives us a pretty strong relationship with the clients and the projects that we are getting here are on a repeat basis with clients that are targeting their capital spending. The award that we took in this quarter was on the far eastern side of Russia where we had several very successful projects.
Will Gabrielski - Broadpoint Amtech:
Alan Boeckmann: Yes, the combination of those two clients, we are in the process of doing a very large petrochemical project for them as we speak in Saudi Arabia. We had a very long and very positive relationship with SABIC and of course as you know Sipchem is a relatively new company, but we’ve been doing their front end awards and they are doing their only really large project. So, we do get some good visibility there and I’m hopeful that our reputation and relationship will continue to serve us very positively as they go forward with their capital plans.
Operator: Your next question comes from Alex Rygiel - FBR Capital Markets.
Alex Rygiel - FBR Capital Markets: First what’s the timing of carbon capture projects, significantly impacting new awards and backlog?
Alan Boeckmann: Alex, the projects that we are doing now, there is a few of them out there. As you know we’re doing a demonstration plant in Europe right now with a utility company. The SaskPower one though is very significant and I think we will be an extremely positive project as it goes forward. I think back to one of the earlier questions, the only way that the world is going to be able to really use coal as we go forward in the future is to be able to truly take the carbon out of that process. Fluor has the proprietary process that we have been using for quite a number of years in gas stream, in the gas production arena, that is very applicable here and one that is getting a lot of attention and we are putting a lot of focus on it. This would be a great award and a great project to go forward. In terms of it truly being something that would really hit backlog and really starts driving results, I’d say it’s probably 2010 or even 2011 before that really gets going. There is a cost to implementing this, it is clearly more expensive than just pure burning of coal for power plants and so I think it’s going to take a regulatory environment and/or cap and trade system that would reward that investment to really drive it forward.
Alex Rygiel - FBR Capital Markets: On the solar market in particular, how is your project in Montana proceeding?
Alan Boeckmann: On the solar, I’m probably best not to speak to an individual project. We’re involved in the solar market pretty much across the globe. Our biggest involvement has been in the production of the polysilicon that goes in to the solar cells and that’s the area we’ve been focused on. Our power business, we are looking at some opportunities to get into some actual solar plants that produce electricity, but our biggest focus has been on the chemical side of that equation.
Alex Rygiel - FBR Capital Markets: Lastly, what’s your current thinking on when you may add South Texas to backlog?
Alan Boeckmann: I’m sorry, we lost you again. We are having really a difficult time on our audio here; if you speak right in to the microphone that might help.
Alex Rygiel - FBR Capital Markets: What’s your current thinking on when you may add South Texas to backlog?
Alan Boeckmann: Well, we have a pretty hard and fast move on backlog. We have to have all licenses in place before we put something in backlog and so I’m looking at 2012; it would be really when that project gets its COL and so we won’t put it into backlog until that time.
Operator: Your next question comes from Barry Bannister - Stifel Nicolaus.
Barry Bannister - Stifel Nicolaus: I had a follow up on South Texas project. My understanding is that the Nuclear Regulatory Commission and DOE is looking at a guarantee program for the reactors and decision is eminent. Based on the structure of that likely guarantee program, South Texas would seem to be one of the early approvals for guarantee of losses due to construction delays. What’s David Constable been saying about in about that particular angle, in terms of an incentive to go forward and push ahead on the project.
Alan Boeckmann: Well, we’re clearly hopeful that that comes to pass, but again the approval to push forward on that, with that as a backstop would come from our client and their willingness to go forward and assume that risk or to benefit from the guarantee. Again we’re hopeful, but right now without that decision, we’re still looking at a couple of years out before there is significant spending, particularly on procurement of major equipment.
Barry Bannister - Stifel Nicolaus: But you hear of that and your global power group views that as a significant milestone.
Alan Boeckmann: It would be absolutely significant. I wouldn’t forecast the likelihood of that occurring just now, but I do believe if it were to occur, it would certainly be a positive.
Barry Bannister - Stifel Nicolaus: The other sort of blue chip stock in the engineering space that’s publicly held is indicated that it’s interested in M&A at this stage of the cycle. What is your disposition? Now that you’ve entered the market to buyback stock, would you rank order what you see is the likely uses of cash in the next year.
Alan Boeckmann: The stock buy backs cost us about $60 million to $80 million; $60 million and we have a fairly significant cash reserve. So I wouldn’t preclude doing both in parallel. We are looking at M&A; we continue to be very interested in M&A. I will tell you, it’s not easy in this market because there has been such a significant decline in valuations and a lot of companies still have a fairly high opinion of themselves and reality hasn’t sunk in, but we are very actively looking at opportunities for M&A that would fill us out in a number of markets that are priorities to us. I do expect that we will be having some M&A activity as we go through the year; that will have a significant benefit to the corporation.
Barry Bannister - Stifel Nicolaus: Are you willing to accept upfront dilution if you were to be a consolidator, being a leading player in the industry.
Alan Boeckmann: Barry, I don’t really believe in the concept of consolidation in this market. It’s been tried in the past; it’s not been a successful strategy. I think what drives M&A should be where it fits into your strategy of where you want to grow and fills out capabilities or geographic regions that you currently don’t have in your portfolio and that’s how we’re looking at it. So we are very active in looking at the infrastructure area, we’re very active in looking in the global services O&M area, offshore, Oil & Gas and in the nuclear fuel cycle.
Operator: Your next question comes from Graham Mattison - Lazard Capital Market.
Graham Mattison - Lazard Capital Market: Did you say you guys mentioned looking at some pretty sizable, renewable energy projects out there? Do you see these as more of a 2009 event or is this probably going to be more as see those coming in 2010?
Alan Boeckmann: On the renewables side, I don’t think we’ll have a sizeable one in 2009. With the exception maybe of the SaskPower, where it’s not a necessarily renewable, although it is aimed at the clean fuel arena, but wind power, biomass and so forth, I think we’re looking at more of 2010 opportunities.
Graham Mattison - Lazard Capital Market: Then just on the U.S. downstream market. Obviously, your comments in there remain pretty stagnant. Do you have sense of where we might see some sort of a turnaround there at least leveling out?
Alan Boeckmann: Well, it’s clearly gone down, but interesting enough, if you go back and look at the comments we’ve been making now for almost two years, we knew that the end of the cycle would come in late 2008, early 2009, simply because of the capital projects that had been lined up and the timing of which we saw that they were going to occur. What was really not predicted was the falloff in demand here in the U.S. and the reduction of cash flows in a number of our clients. So, while we already predicted that new awards would stop in 2009, we really haven’t seen the affect that the cash flow issues were going to have on cancellations or delays. So, I think its going to be a while before that market moves backup again in the U.S., but keep in mind, the investments have been dramatic over the last couple of years. The capital investments in the downstream infrastructure of the U.S. have been rather significant. So, I think there will be an opportunity to work through those capacity increases over the next several years before you really see any significant investment coming back into that market.
Operator: (Operator Instructions) Your next question comes from Joe Richie - Goldman Sachs.
Joe Richie - Goldman Sachs: It sounds like you’re excited about your opportunity on the new award front for the second half of the year. I was wondering if you could give us some insight into the second quarter specifically, whether there’s any large projects you think that could hit outside of the LOGCAP IV task orders that you think could hit in the next four to six weeks?
Mike Steuert: If you look at our last three quarters, we’ve averaged $6 billion a quarter, but it’s gone from a high of $8.8 million to a low of $4.2 million. So I do think that the larger award quarters are going to be our third and fourth quarters in 2009. That could change, something could move forward. We had a couple of prospects that actually do just that and move forward, which had not been the trend in the past couple of years, but I do expect that the second quarter will probably be our lowest quarter of the year and again that’s just the lumpiness, but that’s also again the forecast that we put into our outlook for the year.
Joe Richie - Goldman Sachs: Would you expect that to be within the range that you just spoke about, the $4.5 billion to $8 billion range?
Mike Steuert: Yes likely, but probably towards the lower end of that.
Joe Richie - Goldman Sachs: Okay. On the LOGCAP IV task orders, you mentioned that you could see those awarded in the next four to six weeks, can you talk about the size of other awards, are we talking about awards greater than $500 million?
Mike Steuert: They are significant. The challenge with any of those awards when you get them, it’s a scope of work that’s very general and when you receive individual releases against those that are more specific. Even when we get the award, again we’re pretty conservative in how we book backlog. We would only book it when we got a very specific task order that had a direct identifiable scope with it that we can estimate. So, it would be great news to get it, because I know that the stuff that’s in there is very high priority and would move quickly. So, we’d probably take our awards into backlog on an individual task order basis.
Joe Richie - Goldman Sachs: Can you also comment on the BP Whiting scope reduction? Maybe just talk a little bit about the reduction and then how that project is progressing today?
Alan Boeckmann: Well, the project took a long time to get going because of some permit issues, but it’s proceeding pretty strongly right now. The scope reduction was a look at as to how we could best manage that project from a resource standpoint and leveling out of resources. So, it was a decision that was actually entered into conjunction with ourselves and our customers to a more optimized execution on that project.
Operator: Your next question comes from John Rogers - D. A. Davidson.
John Rogers - D. A. Davidson: A couple of things; first just Alan, following up on your comments about M&A in the markets that you’re looking at, is it your intend expectation that you won’t be 60% dependant on the Oil & Gas business, four or five years from now?
Alan Boeckmann: If you look just back over a five or six year period, I don’t have the numbers actually in hand, but we’ve been down as much as 25% of our business in Oil & Gas during that time; almost two-thirds. So it various, it depends on the market that we’re in and I guess the advantage that we have, is that we have a very strong position in all of the markets we play in. We have the ability to shift our resources between them pretty quickly. So, I wouldn’t predict where we are five or six years from now, because I’m likely to be wrong that far out, but I do think we will continue to maintain a strong focus on each of the markets and be very cognizant of where they’re moving and be in a position to be competitive in each one of them.
John Rogers - D. A. Davidson: Secondly, I guess for you or Mike. Was there any significant margin impact from the cancellation of the projects; did you collect any fees or demobilizing benefits from that?
Mike Steuert: No John, there really wasn’t anything material at all in the quarter in terms of impact on margins.
Alan Boeckmann: John, just to answer your question, 2002 it was 24%.
Operator: That does conclude today question-and-answer session. I’d like to turn the conference back over to Mr. Boeckmann for any additional or closing comments.
Alan Boeckmann: Thank you, operator and I’d really like to thank all you for participating on our call this morning. We strongly believe here at Fluor, that our strategy of industry and geographic diversification is serving us well and is enabling Fluor to meet or exceed expectations in this extremely tough environment. We will continue to do everything in our power to deliver the best possible results to our shareholders. We greatly appreciate your interest in Fluor and your confidence in our company. Have a great day.